Operator: Good morning. My name is Hope, and I will be your conference operator today. At this time, I would like to welcome everyone to the Standex International First Quarter Fiscal Year 2015 Conference Call. [Operator Instructions] Mr. David Calusdian, from Sharon Merrill, you may begin your conference.
David C. Calusdian: Thank you, Hope. Please note that the presentation accompanying management's remarks can be found on Standex's Investor Relations website, www.standex.com. Please see Standex's Safe Harbor passage on Slide 2. Matters that Standex management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's recent SEC filings and public announcements for a detailed list of risk factors. In addition, I would like to remind you that today's discussion will include references to EBITDA, which is earnings before interest, taxes, depreciation and amortization; adjusted EBITDA, which is EBITDA excluding restructuring expenses and onetime items; non-GAAP net income; non-GAAP income from operations; non-GAAP net income from continuing operations; and free operating cash flow. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the company's performance. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in Standex's first quarter news release. On the call today is Standex's President and Chief Executive Officer, David Dunbar; and Chief Financial Officer, Tom DeByle. Please turn to Slide 3, as I turn the call over to David.
David A. Dunbar: Thank you, David. I'd like to welcome those listening to today's earnings call. Standex is off to a strong start in fiscal 2015, especially on the top line. Total sales increased 13.4% from Q1 last year with growth in all segments, and organic sales growth of 9.8%. For the first quarter, non-GAAP operating income was up 8.9%, and non-GAAP EPS increased 4.2% to $1.25 per share. We ended the quarter with a net debt position of $53.1 million, which reflects recent acquisitions totaling $57.1 million. The continuing strength of our balance sheet provides us with the flexibility to pursue investment opportunities to drive profitable growth and create meaningful shareholder value going forward. Key operational highlights I will cover later provide progress on our path to higher margins and growth rates. The integration of our recent acquisitions are proceeding well, and we have significant focus on continued performance improvements at our cooking solutions plants in Nogales, Mexico. With that Tom will discuss our results for the first quarter. After that, I will discuss the performance and outlook in each of our businesses segments. Tom?
Thomas D. DeByle: Thank you, David, and good morning, everyone. Please turn to Slide 4. All segments showed organic growth for the quarter. Food Service grew 10.1%, benefiting from strong refrigeration and specialty solutions sales. Engraving organic sales also increased in the quarter, driven by strong automotive mold sales and was up 12.7% versus the prior year. Engineering Technologies increased 1.5%. Electronics grew 3.9%, primarily in North America and Europe. Hydraulics sales volume was up 35.1%, with growth in the construction and refuge areas contributing to the substantial increase. Acquisition growth was 3.5% versus Q1 of last year due to the Enginetics acquisition in Engineering Technologies and the Ultrafryer in the Food Service Group. Foreign exchange was essentially flat across the enterprise. Please turn to Slide 5. On a trailing 12-month basis, adjusting earnings per share was $4.28 through September 30, 2014, versus $3.80 in the trailing 12-month ended September 30, 2013, a 12.6% increase. Sales were $740.1 million on a trailing 12-month basis as of September 30, 2014, versus $674.9 million in the prior year. Please turn to Slide 6, which summarizes our first quarter results. Net sales for the first quarter increased 13.4% to $202 million, from $178.1 million in the first quarter of fiscal 2014. Excluding special items, operating income grew 8.9% to $22.9 million from $21 million a year ago. Adjusted EBITDA grew 8% to $27.2 million or 13.4% of sales, compared with $25.1 million or 14.1% of sales in Q1 last year. Please turn to Slide 7, which is our quarterly bridge that illustrates the impact of special items on net income from continuing operations. For the first quarter of fiscal 2015, these items included tax expected; $617,000 of restructuring charges, primarily related to Cheyenne closure and expenses related to the move of our electronics Mexico business into the new facility and $562,000 of purchase accounting related to the step up of the inventory from our recent acquisitions. In the comparable period of fiscal 2014, there were $2.8 million of tax-affected restructuring charges and a total of $254,000 in nonrecurring management transition expense and discrete tax items. Turning to Slide 8. Net working capital at the end of the first quarter of fiscal 2015 was $155 million compared with $129.4 million a year earlier. These increases in working capital related to the recent acquisitions, sales volume increase and inventory build to support increased backlog and factory consolidation efforts. Working capital turns adjusted for acquisitions were flat at 5.5x year-over-year. Slide 9 illustrates our debt management. We ended quarter 1 in a net debt position of approximately $53.1 million. This compares with a net debt position of $4 million a year earlier. We define net debt as funded debt plus cash. The increase in debt is primarily related to the acquisition of Enginetics during the quarter. Our balance sheet leverage ratio of net debt-to-capital is 13.4% compared with net debt-to-capital of 1.3% a year ago. Our strong balance sheet is positioned to meet our needs. We continue to have financial flexibility to fund growth, acquisitions and other strategic initiatives. Slide 10 summarizes our capital spending, depreciation and amortization trends. Capital spending for the quarter was $7.2 million. Spending is in line with our fiscal 2015 estimates and supports both our growth initiatives and factory consolidation efforts underway. We expect that our capital spend will be in the range of $24 million to $26 million for all of fiscal 2015. Slide 11 details our free cash flow during the quarter. Net cash used by our operating activities was $11 million, due to organic sales increases during the quarter, along with inventory builds to support increased backlog and factory consolidation efforts. With that, I'll turn the call back to David.
David A. Dunbar: Thank you, Tom. Please turn to Slide 13. I'll begin our segment overview with the Food Service Equipment Group. Sales in Food Service increased 13.9% from Q1 last year while adjusted operating income was up 1.3%, excluding Ultrafryer's purchase accounting. The lack of operating leverage at the segment level was the result of ramp-up inefficiencies in Nogales, which are on their way to being resolved. Our end markets are healthy, and the segment continued to deliver solid year-over-year growth. In refrigeration, this was a strong quarter for sales in both the dollar store and chain store segments. We also saw good growth in our specialty cabinet business with the beverage industry. Looking ahead, we're working on opportunities in the retail drugstore segment that have the potential to improve our sales in that part of the business later this fiscal year. In specialty solutions, sales were up this quarter year-over-year, in large part, due to our roll out of a new line of open air merchandiser products. Sales for the first quarter in cooking solutions were down slightly from Q1 of fiscal 2014. The transfer from our Cheyenne facility to Nogales is complete, and our ramp-up plan was very aggressive. Incoming orders have remained strong, but the shipments out of Nogales have not kept up. As a result, our backlog in cooking solutions has grown from the first quarter of last year. We've made progress debottlenecking the plant, and shipment volumes have been steadily increasing. In fact, we exited the quarter at a good run rate of production. Now our priority is to improve plant operations to enhance efficiencies and get costs and margins back to where they need to be. To do that, we are flowing significant resources to Nogales to make this happen. Not only have we invested CapEx dollars in automated manufacturing to improve throughput and quality, but we've pulled together a team consisting of the best people in Standex, lean experts, plant managers, engineers, and IT and finance, to improve underlying operations at the plant. We continue to expect the Cheyenne consolidation to result in $4 million in annual cost savings. Also important to supply chain performance is the new finished goods distribution center for cooking solutions in Dallas, Texas. Shipment volumes out of Dallas are on track and very close to reaching complete coverage of our product line. Our key objectives for Dallas were to improve customer satisfaction and working capital management. These objectives are being realized, as shipping out of Dallas, which is direct from our plants, has cut 2 days off our average freight time. Finally, the integration of the Ultrafryer Systems business is going very well. Shipments and profitability for the first quarter were strong, and we're successfully leveraging Standex supplier contracts to drive cost synergies. In addition, we've identify new opportunities to cross-sell Standex products to Ultrafryer core customers as well as Ultrafryer products to certain Standex customers. Please turn to Slide 14. The Standex Engraving Group posted its third consecutive quarter of record sales and profitability in Q1. Operating income grew 45.4% year-over-year on 12.2% sales growth. Our results in Engraving continue to be driven by strong demand in our Mold-Tech business in North America, Europe and Asia. Quotation activity in Mold-Tech was strong during the quarter in North America and Europe. And we remain very optimistic about our potential in China, and we opened our fifth manufacturing facility there during the first quarter. We're continuing to leverage the worldwide presence provided by our 29 sites and soon to be 31 sites around the world, which enables us to stay close to our customers as their markets and businesses evolve geographically. This global footprint, along with our advanced digital technology, positions us as the only company in the mold texturizing space that can provide a customer with the same texture on a worldwide basis. In our roll, plate and machinery business, market conditions remained weak in both North America and Brazil. As a result, our sales and margins in this part of the business were down from the first quarter last year. The design hub we recently opened in Manchester, England is proving to be a differentiating concept in our business. Manchester did projects for several additional major OEMs during the first quarter, providing their design teams with rapid prototyping of their future automotive interior textures. We are working to replicate our success in Manchester by opening a new design hub this quarter in Detroit to service North American OEMs. Our plans for the second quarter also include a grand opening, open house and customer day in Detroit to demonstrate our new slush molding and laser engraving capabilities; start up activities in Mold-Tech's new facilities in Asia and Eastern Europe; and further efforts to secure large OEM orders in the roll, plate and machinery business. Please turn to Slide 15, our Engineering Technologies Group. Sales for the quarter were up 16.5% year-over-year, of which 13% came from the acquisition of Enginetics, as Tom showed earlier, and operating income increased to 22.4%, excluding Enginetics purchase accounting. Sales growth in the business this quarter was largely driven by shipments into the space market. Our lower margin on the base business sales growth reflected unfavorable mix due to higher levels of low margin aviation and space development work and slower sales in the oil and gas business. We're working to capitalize on new opportunities in aviation, now aided by Enginetics, which we have acquired during the quarter. Aviation is attractive to us due to its long-term growth potential and steady production volume, and Enginetics significantly improves both out scale and our competitive position in this growing market. They brought us a great management team with deep experience in energy-efficient engine technology, which complements our leadership position in spin forming. Our Engineering Technologies CapEx plan for fiscal 2015 includes investments in additional machining capacity, including new spin lathes and CNC machines, to support our growth in commercial aviation and to streamline our supply chain for space. We plan to start up our new vertical machining center early in calendar 2015. Please turn to Slide 16, Electronics. Electronics sales increased 4.7% year-over-year to $29.5 million, while operating income increased 7.9%. Strong sales across the Standex-Meder product line in North America and modest growth in Europe were partially offset by slightly lower sales in Asia, reflecting softer demand in China. Our growth in Electronics has been driven primarily by increased demand for reed switches and reed-based sensors in the automotive and appliance sectors. The acquisition of Planar Quality Corporation during the fourth quarter of 2014, reinforces our high-reliability magnetics offerings in the specialized but growing area of compact high-current, high-density transformers. This type of transformer is typically found in military, medical, space and electric vehicle applications. The Planar Quality business is off to a good start with quotes and bookings both on track. In purchasing this business, we acquired unique pre-existing Planar product designs along with a set of powerful proprietary design tools, rapidly accelerating our sales efforts in these applications. We also made operational progress in Electronics during the quarter by completing the move to our new facility in Mexico. We also expect this to result in cost savings and efficiencies as the plant ramps up, which will allow us to continue reducing the inventory we built prior to the move. Our focus on Electronics is to keep doing what has been working for this business, continue to pursue a healthy list of new business opportunities on the one hand and drive operating improvements in our plant. Please turn to the Hydraulics Group on Slide 17. This was another strong quarter for the group. Sales increased 35% year-over-year in Q1. Driven by sales leverage and productivity improvements, operating income was up 46.7%. In addition to the continued growth of sales into the waste and refuse markets, we are seeing a recovery in our traditional North American dump truck and dump trailer markets as well. We've been able to service this demand with our global supply chain and plants in both Tianjin, China and Ohio. Volume shipped out of Tianjin hit another record in the first quarter, while we exited the quarter with total Hydraulics backlog of 50% year-over-year. To support this demand, we will execute investments in CNC machining and welding automation in Tianjin. Looking ahead, we're working to expand our addressable market by pursuing new opportunities, primarily in the oil and gas and airport markets. Please turn to Slide 18. In summary, and although it's still early, fiscal 2015 is shaping up to be another strong year for Standex. Conditions in our end markets are continuing to improve, and we're making good progress on strategic growth initiatives in each of our businesses. We delivered double-digit growth in Q1, while continuing to improve the company's operating performance overall. Incoming orders are strong and backlogs are up from a year ago across the board. We have a keen focus on improving performance in Nogales. Our businesses are executing their planned investments to support increased demand. Our recent acquisitions are performing well, and we have a healthy active pipeline of additional prospects. Finally, our balance sheet remains strong, allowing us to pursue multiple paths to grow shareholder value. We look forward to reporting on our progress next quarter. With that, we'd be pleased to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Schon Williams with BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: I wonder if maybe we could just take a high-level view. You guys serve a lot of different end markets on a global basis. I wonder if you could just give your outlook on kind of what geographies are particularly strong or particularly weak. And maybe also by end markets, can you talk about what seems to be picking up, what seems to be slowing down? I mean there was obviously some commentary at the end there about maybe some softness in Europe and China. If you could just kind of address what you're seeing on kind of a total basis that would be helpful.
David A. Dunbar: Yes, let me to start with the watchouts first, that's maybe easier -- it's a shorter list, actually. As all other industrial companies, we're watching Europe closely. We saw -- we had good sales in Europe in the quarter, although we started to see some softening in the quotation activity. So we'll see how that plays out. That could soften demand in Europe. China, we had a good quarter in Engraving. Although Electronics started to show some softening in China. So there again, just keeping an eye on it for the quarter. And I think I also mentioned exchange rates. We do a fair -- that's what, about 30% of our business is non-dollar-denominated transactions, so the strong dollar would impact that. It's not a market effect, but obviously we transit everything back to dollars. In North America, our biggest markets, Food Service market is a healthy one. The food service industry groups report this year volumes are projected to grow, depending on who you listen to, 4% to 5% for the market. And you see the other players are announcing growth as well there. Auto rollouts and refreshes, we're at the tail end of a period of significance -- significant activity there. We expect that to taper through the year. So our Engraving team is focusing on more consumer goods, electronics and things like that, to fill the gap. They think they can -- they'll maintain their long-term growth rate with that transition. In Engineering products, the space activity was strong this last quarter. Our other businesses tend to be more project-based. So for example, our land-based turbines in energy and our sales to oil and gas were softer in the quarter. We think largely because of timing of projects. And we expect those to be relatively stable this year, relatively flat. And Electronics, no dramatic change there, just a steady upward tick in that business as our customers want more measurement points in their products, and we're able to deliver them. And I think I mentioned that our mix of product in Electronics has ticked up. I think last quarter, it was about 43.5% sensors -- I mean Q4. In Q1, that ticked up to 45%. So we continue to see an ongoing evolution to higher-level solutions.
Christopher Schon Williams - BB&T Capital Markets, Research Division: All right, that's helpful. And then if I could dive into some of the segments here. Obviously, very good growth out of the food equipment business, double-digit organic growth. That's compared to also double-digit last quarter. I mean, is that type of growth rate, is that sustainable? Or is there anything -- I know there was -- there's been a little bit of catch up maybe from Nogales and some rollouts as well. I'm just trying to get a sense of should we expect that type of growth rate over the near term?
David A. Dunbar: No. What we've communicated is we thought that -- long term, it's a good market, the food equipment market, and International Association of Food Equipment Manufacturers says it's a 4% to 5% growth market year-over-year. And I think in earlier calls, my communication about that was, as we -- we're focused internally in the transfer to Nogales, which is now complete. And through the course of year, we thought we could return to the market growth rates. Well, obviously, we've exceeded that in the last 2 quarters. I would not change my expectation, though. So I think a reasonable expectation would be a growth rate closer to the market growth.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then just following up on -- could you -- we talked about Nogales, still some start up issues there. Could you talk about when -- what's a reasonable time frame for you guys to get that behind you? Or were you talking about by the end of the year? And then, if you could also maybe address the speed oven is now out and you are taking orders. Maybe just talk about what you're seeing in terms of opportunities there?
David A. Dunbar: Yes, sure. Let's first talk about Nogales. Nogales is -- we're one step farther along the path of getting our -- especially the cooking solutions business, where we want it to get. There was a fuse of consolidation, elimination of excess capacity, that's done. Now we've got kind of all our eggs in one basket, so to speak, in Nogales. And we had a very aggressive plan. We moved a lot of product this year. And as I mentioned before, the ramp-up didn't track with our incoming orders or the activity they had. So we may be pushing a little hard and a little fast. But the good news is we've got the demand, we've got the top line. Everything is focused in Nogales. So what we've done, Schon -- and this is actually kind of an exciting first, I think, for Standex, we looked across the business and said, "Who are the best people we've got, in lean? Who are the best plant managers, IT, finance? Let's get them to Nogales, that's the #1 issue. Let's then drive performance improvement." Through the quarter, our volumes increased so that as we exited the quarter, our volumes are about where we need them. Now that team is working on improving efficiencies. And I would say that we will -- my expectation is by the end of the year, we will exit -- we'll exit the year with Food Service's margins that we've communicated. And in terms of Nogales, our expectation is this quarter, we'll start to stabilize in Nogales, and then we'll just progressively improve the margins and efficiencies Q3 and Q4.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then just any commentary on the speed oven.
David A. Dunbar: Yes. I'll switch gears to speed oven. Yes, so the speed oven is -- we've got half dozen or more customers, who had been working with the speed oven in their test kitchens, developing new menus for some concept rollouts they have. And our expectation is that -- I don't know if we've communicated the sales number for the speed oven, but we think that will result in some sales in this year, will be less than $1 million, say, $0.5 million maybe, for the year as these programs roll out before the end of our fiscal year. And the sales -- you probably know this Schon, you track the industry, so as these national chains revise their menu, develops new concepts, they'll go to test market, it's a fairly low process. So the share of sales from new products in our business will take some years for that to really provide a significant growth engine. But obviously, the sooner we start, the sooner we get there. So the feedback from the customers, our speed oven is easy to use. They like the interface. And we're just -- we're anxious to hurry them along in their new concept development.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then maybe just one more, if I may. Margins in Engraving ahead of my expectations. Is that -- I don't know, should we think of kind of the mid-20s, is that a sustainable margin for this business? And was there a mix effect? Can you maybe just talk about what were the puts and takes there?
David A. Dunbar: This business, as you know, leverages tremendously when it grows. But I would not say mid-20s is a reasonable expectation of margins long term. I think we've communicated upper teens long term as we continue to grow this business.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And what was -- I mean, this quarter was just more volumes then?
David A. Dunbar: Yes. Yes, more volume. Yes, more volume, and we worked some extra shifts. We didn't have to make significant investments to support that volume, and you see the results in the leverage.
Operator: [Operator Instructions] Your next question comes from the line of Chris McGinnis with Sidoti & Company.
Christopher McGinnis - Sidoti & Company, Inc.: I guess just a follow-up on Nogales. Just looking at the margin comparison to last year and the cost savings you expect this year from that change. Where would you have been if you were on point in Nogales in terms of a margin differential for the quarter?
David A. Dunbar: Well, let's see. How is the best way to answer -- what I would do, Chris, I'd go back to the Food Service page, Page 13. And if you assume that we were just producing at the same margins we were last year, and just leverage with our volume, that would be another $1.3 million of operating income in the quarter. I think that kind of gets you close to the order of magnitude.
Christopher McGinnis - Sidoti & Company, Inc.: Great. I appreciate that. And then I guess, just -- there was a little bit of pent-up demand. Are you still seeing that in the Food Service side from last quarter, I think, if I remember your commentary, right?.
David A. Dunbar: Yes, yes. Backlogs are up. Order entry strong. And the market itself as an industry group support is strong.
Christopher McGinnis - Sidoti & Company, Inc.: On the opening of the Detroit plant on the Engraving side, when you think about an opening of a facility, is there a revenue, I guess, per site that you have? Or is it more about the opportunity of just having that worldwide network?
David A. Dunbar: Yes. So the site -- I said grand opening -- the site exists. So what -- the opening is kind of an event. We've just put in place the new laser machine, so we can do laser engraving there. We have nickel shell molding, which is a new investment we've just made there. And we're also replicating the Manchester design hub there. So we're expanding our offerings there, so we've invited our customers. We actually already had this, it was last week, and we had over 200 customers come to visit it. So I would say, we do have some growth expectations from nickel shell molding and from the laser. And the design hub, as we've experienced in Manchester, at the very least, it strengthens our relationship with our existing customers, and it does result in some service billings for the design services.
Christopher McGinnis - Sidoti & Company, Inc.: All right. And you talked about, obviously, you're coming off of record numbers on the auto side. How confident are you to offset -- you talked about some consumer electronic business. How confident do you feel you can kind of keep a solid growth rate in that business with that? How likely is slowdown on the auto side?
David A. Dunbar: Yes, I think what we said there is that the long term -- to take a 5-year top line CAGR for that business would have been about 7%. And we think we can stay within that range by modifying our focus and changing the mix of the industries we serve. So more focus on electronics and consumer goods when orders are slow. We're not going to get the teens growth that we've seen in the last few quarters, but revert to the mean.
Christopher McGinnis - Sidoti & Company, Inc.: All right. And then just lastly, you talked about a little bit of margin pressure on the Engineering side? It sounds like a little bit of a mix? Should that improve over time in terms of just stronger pricing, I guess?
David A. Dunbar: Well, it will improve for a couple of things. First of all, it was up from last year in the base business, but we reported 12.7%. And this is a business that long time, we expect to be in the upper teens. So there was significant development of some new space, quotes and models or prototypes we developed, as well as support of these aviation wins we've communicated earlier. So there's no revenue flowing or a very -- insignificant revenue for the development work. And we paid for that in the quarter. So that depressed the earnings there. Yes, the other minor effect in there was, with the exception of aviation, most of the business we do in Engineering Technologies is largely projects driven. And it's fairly lumpy. So last quarter was a big quarter for space, but in our U.K. business, we saw less oil and gas business. And the margin mix of oil and gas and energies, it puts some downward pressure on the margins. But that is just after kind of 1 quarter point in time, and it's -- we would say it's not indicative of long-term prospects of the business.
Operator: Your final question comes from the line of Jamie Wilen with Wilen Management.
James R. Wilen - Wilen Investment Management Corp.: Just 2 questions. On the Nogales cost savings, what is the ultimate amount of annual cost savings once we're operating efficiently?
David A. Dunbar: Well, I'll tell you, the cost we are taking out of the system with the closure of Cheyenne is $4 million annualized. Now I would tell you -- I would have an expectation that once we are running and gunning in Nogales, that we'd expect to see some productivity improvements beyond that. Those are not built in. We haven't communicated anything there.
James R. Wilen - Wilen Investment Management Corp.: And of the $4 million, how far along are we in that 9-inning game?
David A. Dunbar: I think the majority of that cost is out. And I mentioned earlier that we'll exit the year at the margin rates we've communicated in that business. So you'd start to see that second half of the year. It's being kind of overwhelmed by the inefficiencies in production right now.
James R. Wilen - Wilen Investment Management Corp.: Okay. The open air merchandiser that you're rolling out looks like an incredible product. Can you talk about the potential volumes and kind of what national change are you rolling out -- rolling it out with?
David A. Dunbar: So we do open air merchandisers in --out of that business for -- we do for Einstein, this was convenience store through a group -- through a buying group. Tesco, right?
Thomas D. DeByle: Right.
David A. Dunbar: And -- I can't answer the total market opportunity for this, Jamie. This business can’t come out of the business, our brand is Federal. And Federal is a -- I'd say almost a niche player, we do customized merchandising for small-format food outlets like an Einstein Bagels. We also do convenience stores. And do custom design of merchandisers for their new concepts, their new rollouts. And that business has been growing well and somewhat above the food service market rate. We don't -- I haven't taken the view, we report on the individual product line, but good opportunity with good growth.
Operator: Thank you. That does conclude today's question-and-answer session. I would now like to turn the floor back over to management.
David A. Dunbar: All right, thank you. I want to thank everybody who dialed in and listening. I especially want to thank the employees of Standex, who really have welcomed me as a new CEO. And in the nearly year I've worked with them, I've come to appreciate their commitment to customer satisfaction and to delivering results. It's a great team to work with, and I want to thank them all for the string of good quarters they've put together. So thank you, all.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.